Operator: Good morning, ladies and gentlemen, and welcome to Ivanhoe Mines Third Quarter Earnings Conference Call. [Operator Instructions] Also note that this call is being recorded on Thursday, October 30, 2025. I would now like to turn the conference over to Matthew Keevil, Director, Investor Relations and Corporate Communications. Please go ahead.
Matthew Keevil: Thanks very much, operator, and hello, everyone. I'd just like to, first and foremost, thank you all for joining us today. It's my pleasure to welcome you to Ivanhoe Mines' Third Quarter 2025 Financial Results Conference Call. As the operator mentioned, this is Matthew Keevil. I'm the Director of Investor Relations and Corporate Communications. On the line today from Ivanhoe Mines, we have Founder and Executive Co-Chairman, Robert Friedland; President and Chief Executive Officer, Martie Cloete; Chief Financial Officer, David van Heerden; Chief Operating Officer, Mark Farren; Executive Vice President, Corporate Development and Investor Relations and Mr. Alex Pickard; and Executive Vice President, Projects, Steve Amos. We will finish today's event with a question-and-answer session. You can submit a question using the Q&A box on the webcast as well as through the conference operator via your phone line. Please contact our Investor Relations team directly for follow-up questions that are not answered during the call. Before we begin, I'd like to remind everyone that today's event will contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Details of the forward-looking statements are contained in our October 29 news release as well as on SEDAR+ and at www.ivanhoemines.com. It is now my pleasure to introduce Ivanhoe Mines' Founder and Executive Co-Chair, Robert Friedland, for some opening remarks. Robert, please go ahead.
Robert Martin Friedland: Well, thank you to everyone, all of our stakeholders all over the world. I'm addressing you from Riyadh, Saudi Arabia, where we've just concluded the future investment initiative that occurs here annually in Saudi Arabia, and it has become the premier investment destination in the world for people that are interested in the materials that comprise our supply chain and country's national security as it pertains to critical raw materials. And so it's particularly appropriate that we welcome the Qatar Investment Authority with their $500 million equity investment in Ivanhoe Mines. As a leading institutional shareholder in this country with superb relations throughout the Islamic world, which I believe is the least explored part of this planet's mineral endowment. We welcome our Qatar Investment Authority as a long-term shareholder, and we'll be talking more about our excellent relations and future together in the near future. It's also a very good day today to tell you that yesterday, we fed the first ore to the concentrator at what will become the largest precious metals development in our industry. It was in the 1980s that we began working in Limpopo province in the northern part of South Africa to find a giant deposit on the northern limb of the Bushveld, which is quite different than the rest of the Bushveld. We have discovered a super monster, very long-lived, ultra-important Tier 1 polymetallic mine. And the ore was fed to the Phase 1 concentrator yesterday, opening up at least a 100-year era of a very important developer of gold, platinum, palladium, rhodium, nickel and copper. And rhodium is one of the most strategic of all metals, but platinum and palladium are also used in data centers and are critical to every server in almost every data center in the world. So with that, I welcome all of you. It's -- I want to thank all of our people that have been working on our recovery program from the seismic event we experienced in May. We're delighted with our progress and the efforts of our people. And with that, I'll turn this over to Marna to start telling you the story. Thank you very much.
Martie Cloete: Thank you, Robert, for your introductory comments, and good morning, good evening, everyone, and thanks for joining us on our quarterly call. It's indeed quite exciting times here in South Africa. We're preparing for the G20 Summit later this month. And I think we couldn't have timed the start-up of Platreef better to coincide with this important event in South Africa. You are seeing a picture of our management team there in front of a discharge and settling pond. That's part of our Stage 2 dewatering. And I'll quickly talk you through our quarter 3 turnaround strategy and some highlights at Kipushi. We're really on the brink of a new horizon. We had new horizons as a tagline associated with us before. And I'm bringing it back again today because we're quite excited about our plans coming together at Kamoa-Kakula. So if we can turn over to the next slide. The third quarter was always expected to be a slightly softer quarter, but we were reflecting on what we've achieved physically on site. And if we take the team and the massive effort that went into our dewatering. It's going exceptionally well. The pumps that we flew in from China made a difference. We're seeing a record speed of building projects, and Mark will take you through that in the presentation a bit later today. The team has really pulled off a significant effort to get the mine dewater as quick as possible. And we've got a team of technical experts. We brought them together. We're busy with our new life of mine plan that we plan to release sort of in the first quarter of next year. And we currently anticipate to bring Kamoa-Kakula back to copper production of over 550,000 tonnes in the future. We were anticipating to be in a position to publish our guidance for 2026 and 2027 a bit sooner, but we did find that there's a lot of moving parts. We are dewatering real time. We have these technical experts that all need to reach consensus. We are quite excited about what's coming through these numbers. And we would rather take the time and get everything accurate and then publish it out to the market. So by the latest, we will put these numbers out probably early January, but maybe before then. So that's what we anticipate to do over the next couple of months. Just quickly speaking about Kamoa-Kakula and focusing a bit away from our turnaround strategy, but it's been a very exciting time on the smelter. We're going to start with the heat up soon. We're going to feed first concentrate into the smelter early December. And the technical people on the call will talk you through what that looks like and how we will go about feeding the smelter in early December. We've also completed turbine 5 at Inga [indiscernible] , another major project that the team completed very successfully, and we're starting to transmit power through the grid, and we expect to receive another 50 megawatts through the grid in November. And then as Robert mentioned, exciting times at Platreef. And then Kipushi is sort of a rising star that we shouldn't lose track of. We've completed the debottlenecking program, and we are on track to meet our production and cash cost guidance at Kipushi. And then the same for Kamoa-Kakula. We're also on track to meet our revised production guidance and cash cost guidance at Kamoa-Kakula. Just one number I want to sort of address head on is the cash cost that you see at the bottom of your screen. That is the quarterly cash cost at Kamoa-Kakula. It does read higher than the numbers that you usually see. That's just because of the base used to calculate this cash cost for the quarter. We had lower production. We carried some G&A in that number. And then obviously, we were feeding a bit lower grade feed into our plant. So that's the reason why you see a differential there. So if we move over to the next slide, talking about health and safety, it remains our #1 priority. And I think these statistics speak for themselves, especially for a company that's currently executing projects and running large turnaround strategies. We haven't had any LTIs recently at -- on site at Kamoa-Kakula. And the construction of the smelter, which is a significant achievement, was completed without a single lost time injury recorded. I think that is really a great testimony to our project team and our construction teams. And then similarly, the construction of the Kipushi concentrator plant that started in September of 2022 as well as the recently completed debottlenecking program. They were all achieved without a single lost time injury. So I think a big shout out to our operational teams on the ground. They are doing an exceptional job. So with that as an introduction, we will now delve into the details, and I will ask David to take you through our financials for the quarter.
David Van Heerden: Thank you, Marna, and good morning and good day to everybody joining the call today. We can move straight into the next slide. Kamoa-Kakula sold almost 62,000 tonnes of payable copper in the third quarter. Production for the quarter was in excess of tonnes sold, and that led to an increase of contained copper and concentrate inventory on hand that increased to 59,000 tonnes at the end of the quarter. That was up from almost 54,000 tonnes on hand at the end of Q2. The inventory at the nearby Lualaba copper smelter in Kolwezi was approximately 7,000 tonnes at the end of Q3, and that's down from the almost 19,000 tonnes that was there at the end of Q2. So the majority of the inventory is really sitting ready to be smelted by the Kamoa-Kakula copper smelter. It is really a supersized piggy bank at the current copper price, which is just waiting to be broken. We expect unsold inventory to gradually decrease, and we've said this previously, but we sort of maintain that, that should decrease to around 17,000 tonnes as the smelter is ramped up. Kamoa recorded revenue of $566 million in the third quarter, and that was at a realized copper price of $4.42 per pound of payable copper. Moving to the next slide. Kamoa-Kakula recorded EBITDA of $196 million for Q3, and this was impacted by the lower tonnes sold and the lower grade of ore processed as the recovery plan progresses. Considering that this is what at least we believe to be Kamoa-Kakula's loWest point of the turnaround, the margin of 35% looks pretty good. And cash cost for the third quarter of 2025 was $2.62 per pound of payable copper. Cash cost for the year-to-date sits at $1.97 per pound, and it's still well within our guidance for the year of $1.90 to $2.20 per pound of payable copper. Grade mined at Kakula was roughly 5% in Q1, 4% in Q2 and decreased to 2.5% in the third quarter, which was sort of in line with the overall grade processed from Phase 1, 2 and 3 as well as from the surface stockpiles in the third quarter. We do expect that mining of the higher-grade areas on the Western side of the Kakula mine will ever commence in November. As Marna mentioned, Q3 was really an anomalous quarter when it comes to cash costs, not only because of the impact of lower grade, but also because of other factors that will be addressed as the turnaround progresses. At the moment, the mining teams are doing mainly mining development tonnes as part of the reestablishment, which does come at a higher cost than stoping. The crews are also getting used to the smaller heading sizes and efficiencies are expected to improve in the future. And as we have explained previously, we will get noteworthy cash cost reduction benefits and from the smelter from early next year as the smelter ramps up. If we move to the next slide, and this illustrates the usual Kamoa-Kakula EBITDA waterfall. The EBITDA waterfall highlights the drivers of the quarter-on-quarter EBITDA change for Kamoa-Kakula. So while we recognized $90 million of abnormal cost in Q2 relating to the seismic event in May 2025, this was down to $9 million in the third quarter, resulting in a delta of $81 million illustrated as the green bar to the left. In Q3, only cost relating directly to the dewatering effort was classified as abnormal. So for Q3, this was mainly the cost of diesel to run the generators powering the dewatering pumps as the mining crews were no longer idle. The other big driver of our lower EBITDA was then the impact of the lower tonnes sold, which was almost $300 million. The higher quarter-on-quarter copper price resulted in a $25 million benefit. Logistics cost was a little bit lower quarter-on-quarter and other costs also came down from the elevated levels in Q2. We turn to Kipushi on the next slide. Following Kipushi's record production in Q3, Kipushi sold almost 50,000 tonnes of payable zinc, recognizing a record quarterly revenue of $129 million. Kipushi's contribution to Ivanhoe's EBITDA was $27 million for the quarter. I think a pretty good result. Considering that Kipushi had a number of days downtime while the times for the second phase of the debottlenecking was completed in August. Mark will talk you through the success of the debottlenecking later on in the presentation, and we expect Q4 results to be further improved as the production benefits are realized. Cash cost remains nice and stable and right in the midpoint of our guidance. We expect to see the benefits from the increased production from the fourth quarter onwards. Turning to Ivanhoe Mines' consolidated profit and EBITDA on the next slide. Ivanhoe recorded a quarterly adjusted EBITDA of $87 million in Q3. The key driver of the lower adjusted EBITDA was really the lower sales at Kamoa-Kakula, as I've already explained, and its impact on Ivanhoe's share of the Kamoa-Kakula's EBITDA. This was partly offset by the increase in Kipushi's EBITDA as exploration expenditure and overheads remained largely consistent. Ivanhoe's profit for the third quarter was $31 million compared to $35 million in Q2 2025. Turning to a liquidity snapshot on the next slide. Ivanhoe had $1 billion of cash and cash equivalents on hand at the end of September, while Kamoa had cash on hand of $125 million. We completed a private placement with Qatar Investment Authority, as Robert already mentioned in September for gross proceeds of $500 million and received a further $70 million from Jun as they exercise their anti-dilution rights. And Kamoa Copper concluded a 2-year term facility of $500 million during the quarter and drew down $370 million in early October. Both Ivanhoe Mines and [indiscernible] also funded our proportionate share of a $135 million cash flow from Kamoa-Kakula in September. Turning to the CapEx spending plans on the next slide. We lowered both the top and the bottom end of Kamoa-Kakula's 2025 capital expenditure by $100 million and just shifted that into 2026. The work on Kamoa-Kakula’s updated life of mine integrated development plan is well underway. And then the 2026 CapEx will be narrowed and better defined as that is completed and worked into the guidance. Expenditure at Platreef is tracking at the lower end of the 2025 guidance and the capital expenditure guidance range for 2025 and 2026 is kept unchanged. The first feed of the ore into the Phase 1 concentrator took place, as Robert mentioned, recently. And the Phase 2 expansion is proceeding as it's laid out in the feasibility study completed earlier this year, which plans then for the Phase 2 concentrator module to come online in the fourth quarter of 2027. We are also working on a senior project finance facility for Platreef Phase 2 for a total of $700 million, and that's progressing pretty well and expected to close in the first quarter of next year. Kipushi's debottlenecking program was completed in August, ahead of schedule, under budget, and I've already mentioned, Mark will take you through that. And we have slightly raised CapEx for Kipushi just to cater for accelerated construction of the second tailings facility Paddock as we prepare for increased production following that debottlenecking. On the next slide, this slide shows our consolidated pro rata financial ratios, which have improved compared to where we were at the end of last quarter. That's mainly due to the cash received from the September private placement from QIA. And we are in a very healthy pro rata cash position with over $1 billion of cash on hand. And we are taking on a little bit of more debt at the Kamoa-Kakula level, but EBITDA and therefore, the net debt ratio will improve as we continue to execute on the turnaround plans at Kamoa-Kakula and as EBITDA from Kipushi increases and Platreef's EBITDA is added in the future. Our target net leverage ratio remains 1x through the cycle, and we still believe that, that will come down in the near term as these -- as we progress our plans. I now hand over to Mark Farren, our Chief Operating Officer, to start the operations update portion of today's presentation.
Mark Farren: Thank you, David. If you go to the next slide, please. Thanks. Okay. So we have spoken about this, and we do think this was the bottom. It wasn't really the milling so much. I mean we milled 3.4 million tonnes, but it's the grade. It's really the grade. And it's -- if I can explain to the listeners, it's really about 2 things. So mainly, it's getting into the higher-grade areas of the Kakula mine, which is all in the lower section of the mine, obviously, where the water issue is. And then as we move and develop the footprint at Kamoa 1 and Kamoa 2, the grade improves. So you're going to look at a number of things that will influence the grade over the next immediate short term and then over the longer term. So that's why we're sort of pretty sure that we've hit the bottom of everything, hopefully, and we'll see a big turn from now going forward. What is encouraging is Phase 3 concentrator is running sustainably at about 30% above its design capacity. And when we talk long term, you will see the references always to 17 million tonnes. So setting up this infrastructure that we have to get to the 17-odd million tonnes and then to put -- to increase the grade in all the different areas to get that target -- short-term target, I think, of getting over the 550,000 tonnes of copper. That will be in all the project plans and all the long-term plans that you see coming forward. And my belief is that -- and there will be some further increases above that in the longer term. Next slide, please, David. Just to talk about the water. The blue looks like a fish. We call it a whale. It actually looks like a whale. But you'll see the West and the East have been joined. Between the 2, it was sort of flooded between the 2 and in the lower sections of both. The mining was actually taking place in the top sections of the West and the top sections of the East a little bit. And those areas are actually the lower grade areas, so the 2% grade areas. The light blue on the Western side is going to be the first target area that we dewater. And we've done this in stages. So Stage 1 was to install temporary pumping capacity and stabilize the water levels at levels way above where they are now. And then Stage 2 was to put these high-capacity centrifugal pumps down these vertical shafts and then pump out at 2,600 liters per second. Those pumps were imported. They were installed within 6 weeks, and I think the team on site has done an absolutely fantastic job to get all that pumping infrastructure working. Stage 3 is really going down the declines and opening up within the existing infrastructure, pumping infrastructure and rehabilitating the underground infrastructure and then dewatering first the West and then the East. And we believe in the month of November, the West will be completely dewatered and then we will target the East. And I believe that early next year, the total East will be dewatered. And as you can imagine, all the crews are waiting to go back into the higher-grade Western section. It's all been scheduled, and I'll talk about the life of mine planning in the next couple of slides as well. But there's a proper solid pumping plan to get the infrastructure back on track and to get the crews back into the higher-grade mining. Thank you. Next slide. So this is just a picture of what we've had to do. We had to go down through ventilation shafts, about 300 meters deep put in very high capacity pumping systems in. I thought the idea was very clever and it's worked extremely well. It's probably going to be used in the longer term as well because these pumps are working really well as long as the water is clean. So I guess, going forward, we'll use these high-capacity pumps in different areas of the mine. Thank you. Next slide. This is just a picture to show you what we're dealing with when we talk about rehabilitation. So you'll see the spalling on the side walls, and that was really what that whole incident was about. The seismic activity we referred to is mainly side wall spalling. It's a pillar spalling, which has to be then rehabilitated as you go down and then recapacitate the pumping infrastructure as you go down. The next slide will just show you what it looks like when it's rehabilitated. Next slide, please. So if you have a look at this, the side walls and the hanging walls are re-supported and it looks like a new mine, and it goes quite fast. We've made very good progress, I believe, with the rehabilitation. And I think, like I said, the month of November, we should open up the whole Western front, which is about 50 new faces that the teams can mine. Next slide. Yes, and a different approach to planning. This is just one of the pictures, but it's done the same principles are applied to the new mines, the Kamoa 1 and 2 mines, they have the same principles applied. You've got a very good and Marna referred to it, a very good competent team that's working on the mine design of the future. We do believe it will be finished by quarter 1, 2026. And we'll move as fast as we can to give short-term production guidance, aiming for the next 3 years and then the longer term as well. We do believe the engineering is being done with the best experts in the industry to make sure that we get back and that we don't have a repeat of any of this again. The plan short term, in my opinion, is to get back to 70 million tonnes with the best possible grades. And then you can see that little block in green, which means that we will exceed the 550,000 tonnes per annum in the medium term. Medium term to me is the next 2, 3 years. So -- and then take it on from there to grow the business. Next slide, please. The smelter, we did speak about the smelter. It's sort of coming in at the right time for us because of a couple of things. Number one is obviously, the thing we've always spoken about is our logistics costs. So we're now half the logistics cost. We dropped it to less than half, I guess, because we're going to report -- we're going to export now 99.7% blister copper, anode copper actually. And the other thing that's just coming sort of -- it's going to help us quite a bit is the asset credits. And you can see that we're expecting to receive prices of in and around $500 per tonne, which is very high in the industry. But there have been Zambia -- there have been export bans in Zambia, which means that the logistics cost to bring asset in from other countries is going to cost a lot more. So we're sitting right in the DRC where we need the asset for all the other mines. And so I think it's going to be very useful for us. And then obviously, David, a little piggy bank needs to be broken that 59,000 tonnes of unsold copper needs to be fed into our smelter. And what we've had to do because of the [indiscernible] interruptions. [indiscernible] is still not perfect. We're doing a lot of work to stabilize the infrastructure as well, and we did speak about Inga being commissioned, which was done very, very well. There are other things that we're doing on that network to stabilize the network completely, and they will take a little bit more time. But we've put in uninterrupted power supply of 60 megawatts. It's a huge project on its own, and it's being commissioned as we speak, which means that we can start feeding our direct to blister smelter. It's over $1 billion project that was done extremely well in my opinion. I think one of the best installations in that country or the best installation that the country has ever seen. I'm very proud of the work that's been done. And that thing will be heated up in the month of November and first heat in December. So we are very excited for those reasons. We're going to make money on the asset, and we're going to drop the transport cost a lot. Thank you. Next slide. The turbine at Inga is complete. It's online at the moment. It's a huge project on its own. It's been done very, very well. And we will be receiving the first 50 megawatts of power in November, and then that ramps up. If you cast your minds to what it was, it's 180-odd megawatts of power that comes out of that turbine, of which we will be able to receive 150 megawatts. As we fix, like I said earlier, we strengthened the transmission. There are upgrades that we're busy with, such as these resistor banks that we're going to complete in quarter 2 2025, 2026 to increase and improve the stability of the whole infrastructure. There are capacitors that we're also installing as additional projects. But generally, we're strengthening the network for the country. So that whole DC line and its changes over to AC are being strengthened as we speak. Thank you. Next slide. The green power, we're busy executing 2 of 30 megawatt on-site solar facilities with battery storage. I think these are 2 fantastic projects that also bring our operating cost, our power cost down compared to diesel hugely. It's less than half of the diesel cost. So we're having -- our first 2 will be running in quarter 2, 2026. They're big installations, they have fantastic installations, and we are working on work to expand that on-site solar facility to 120 megawatts. So the first 2 will give us about 25% -- 20% to 25% of our energy requirements, and you can work out what the rest will do. And I think it's expandable. It's something that we want to take forward and expand incrementally as we grow our business and as we expand into the Western Forelands. It has a very good benefit of being clean and cheap and it complements hydropower very nicely. So I think -- as we move into the future, we'll be working on clean hydropower and clean solar power to expand our business. Thank you. Next slide. Kipushi, we did speak about Kipushi, I think, a couple of times. We were dealing with the debottlenecking projects. Both of them are now complete. It was split into 2 basically, a shutdown in June and a shutdown in August. Both are complete. There's a little bit of work that we're still doing to add energy back up basically, diesel back up just as contingency back up, and that will be complete in November. We are taking Kipushi to about just north of 250,000 tonnes -- 250,000 to 300,000-odd tonnes of zinc. That will happen from next year and there will be a strong quarter. This last quarter, quarter 4 will be stronger than quarter 3, which was quite a significant improvement over quarter 2. But we are moving to set up Kipushi to do about 250,000 to 300,000 tonnes of zinc next year, which puts it on the next slide, I think, next slide. Yes, puts it #3 in the world. So it's a small mine, but it's very high grade. And you can just have a look at that grade. It's north of 30%, that little red dot, and it takes us to pretty much the third biggest in the world. Also, I might add that the zinc price has gone up quite nicely. Our C1 cash cost has been contained very well by the operational people. And the project has been done, I think, competitively on time, on budget. It's gone really well. And we're looking forward to see what Kipushi does over the next couple of years. Thank you. I think, Alex, are you going to do Platreef?
Steve Amos: I'm going to take this Mark. Thanks. I'll take it. Yes. So yesterday was a big day for Platreef. We fed the mill with first ore in a long time, ran the mill for 4 hours at 30% bore load, which is in line with mill hot commissioning strike ramp-up. We've since stopped the mills. We're going to add the rest of the ball, so up to 100% charge. That will probably take us a day, 1.5 days, and then we'll restart the plant and start the ramp-up. I would expect approximately a week or so from when we restart the mill, hopefully tomorrow until when we get the first concentrate. So that will be an exciting thing for Platreef. Next slide, please. I'll talk a bit about Shaft 3. Shaft 3, 4 million tonne per annum rock hoisting shaft. It's the picture in the middle. You can see the sinking head gear, the brown construction there. Really necessary for Phase 1, to sustain Phase 1, but also very important for Phase 2 to ramp up the production to 4 million tonnes plus and to create a nice big stockpile before we start the Phase 2 plant. With this shaft and with Shaft 1, Shaft 1 is the shaft on the left-hand side in the background, we'll have a total of 5 million tonnes of hoisting capacity. Shaft 1 will, for the most part, be used for mine and material and Shaft 3 will be used for rock hoisting. In the foreground, you can see a whole lot of steel work that is the permanent head gear structure for Phase 3, which we will load into place. The schedule, and we're on schedule is end of March 2026 to start hoisting rock from that shaft. That includes underground rock handling, which is a crusher to conveyors and a tip and then obviously hoisting the -- hoisting through the shaft. Next slide, please. I'll talk a bit about Phase 2 and Shaft 2. So Phase 2, for those of you who don't know, is a 4 million tonne mine and concentrator, produces about 450,000 ounces, platinum, palladium, rhodium and gold, about 10,000 tonnes of nickel, about 5,000 tonnes of copper. We've awarded the EPCM contract to DRA based in South Africa. They're the same contractors that did the Phase 1 work. We've started the early procurement. We plan to break ground with the earthworks in Q1 next year. And then Q3 or Q4 2027, we start the big plant. So that's a total of 4 million tonnes with the hoisting capacity. For Shaft 2, which we require for Phase 2, but it also opens up Phase 3. We've just awarded what we call the Slype and line contract. What we've got on site at the moment, you can see the head gear complete. We've got a 3.1 meter diameter raise bore all the way down to 950 meters. What the Slype and line contract does is that it slype the 3.1-meter diameter shaft to a 10-meter diameter shaft. We then line the barrel and equip the barrel. And by Q4 2028, we plan to use that shaft for mining material. At a later stage, we equip that shaft to hoist rock -- and eventually, that shaft will be an 8 million tonne per annum rock hoisting shaft, which will support Phase 3 of the project. Yes. So very exciting. We will mobilize the crew for the slype and line in Q1 next year. And that's about an 18 -- 24 to 30-month project. Next slide, please. Do you want to take that, Alex?
Alex Pickard: Yes. Thank you, Steve, and good day to everybody on the call. It's Alex Pickard here. We added this slide really just to congratulate ourselves, I think, on the impeccable timing of first production at Platreef after certainly more than 25 years of effort. We're just past LME Week here in London, and there's obviously been a lot of emphasis in the market on the gold price and also the copper price. But in fact, the PGMs, the Platinum Group Metals are the best-performing metals year-to-date. So platinum is up approximately 78% and palladium is up 56% since January. So this means that Platreef will produce even stronger margins, remembering, of course, that as we ramp up to Phase 2, we expect to be one of the lowest cash cost producers in the whole industry because of the large-scale mechanized underground mining and also the byproduct credits that we received from nickel and copper. So on the chart on the right-hand side, you can see the spot basket price for Platreef today, which includes platinum, palladium, rhodium and gold is $1,900 per ounce. And then the target cash cost once Phase 2 is up and running is $600 per ounce. Phase 1 is certainly sub-$1,000 once we are fully ramped up. If you look also at the sensitivity analysis that we put in our most recent feasibility study, which was published earlier this year, at spot prices, the NPV is 40% to 45% higher than the base case we presented. And I think we're very firmly of the view that the NPVs that you see here on the bottom left are not really reflected in Ivanhoe Mines share price today. But hopefully, that will start to change as we will be reporting revenues and earnings from Platreef from the next quarter, which is quite exciting. So moving to the next slide and to exploration, starting as usual with the Western Forelands. So across the Western Forelands this year, we've drilled over 40,000 meters of diamond drilling, and that includes a lot of work that we've been doing around the Makoko district, which is pictured here. I'll ask the audience just to look quite carefully at this graphic, which is showing the 18-kilometer long strike length. And what you can see is the outline of the Makoko West and Kitoko ore bodies where we announced the upgraded resource in May of this year and over 9 million tonnes of contained copper between those 3 ore bodies. You can also see, if you look to the east, the proximity of Kakula West, which is only 8 kilometers away. And then on this chart, what you're looking at, the larger colored circles that you can see are the holes that we've drilled this year subsequent to the new resource, and you can reference the grade of those holes against the scale that's shown in the key. So what you can see is that we've been very productively infilling the area between Makoko West and Kitoko with some good grade intersections. And as well as that, we've been stepping out to the south of Kitoko and also to the east of Makoko with some success. And I think what we have in the Western Forelands really is some of the best banquet book copper drilling that you will find anywhere in the world. Our discovery cost is demonstrated at less than $10 per tonne of copper across the Western Forelands. We're now moving into the wet season. It's sort of starting in November and certainly in December. But we've made preparations, again, I think it's the third year running that we'll be drilling through the wet season. So watch this space at the Makoko District, but also elsewhere in the Western Forelands license package. On the next slide, -- so really the continuation of the strategy that we have at the Western Foreland is the work that we are doing in neighboring Zambia and Angola. So starting first with Angola, we have a huge license package, over 22,000 square kilometers. So that's multiple the size of the Western Forelands. We've been conducting baseline geochem and geophysics, which is now complete. And we are about to start our first drilling on this land package in the fourth quarter. So that's quite exciting. We have 2 drill rigs mobilized for over 6,000 meters of drilling. Zambia is not quite advanced. We only recently acquired that large land package. And really, we're doing the sort of foundational work to set up to commence drilling in Zambia in Q2 of 2026. So watch this space on both of those fronts. And then the final slide, moving even further afield, I think Marna mentioned new horizons and Kazakhstan is certainly a new horizon where we've formed an exploration joint venture to earn up to 80% over time, and that is over 16,800 square kilometers. So again, it's, I think, about 7x the size of what we're looking at in the Western Forelands. I think given that we only signed this joint venture in the first quarter and we really state the licenses in Q2, the team -- the joint venture team have done a fantastic job of mobilizing very quickly, and we are already drilling. So we've already started a 17,500 meter diamond drilling campaign. And then some very good initial news is that we have seen visible copper mineralization in the first drill hole on that license package. So we are very excited about the future in Kazakhstan and looking to leverage from that. So that concludes the presentation, and I will pass back to Matt Keevil to chair the Q&A.
Matthew Keevil: Thanks very much, Alex, and thanks, everybody. We'll now proceed with the Q&A period. First and foremost, we're going to clear the phone lines of any questions coming in through the phones from our analysts. So operator, please do move forward with the phone Q&A period. Thank you.
Operator: [Operator Instructions] Your first phone question will be from Ralph Profiti at Stifel Nicolaus.
Ralph Profiti: Very pleasing to see the recovery plan at Kamoa-Kakula going accordingly. And congratulations on the landmark investment by QIA. Marna, as the mine has been dewatering and continues so, have you seen or do you expect to see inflow rates increase basically due to the pressure differential between sort of external and in situ pressures on dewatered workings. It sounds like judging from the progress that inflow rates have at least been relatively stable. And at last, I remember, sort of 3,800 liters a second was kind of that rate. And is this still the case?
Martie Cloete: Thank you, Ralph. I'm going to let Mark answer the question. It's quite a complicated setup because you've got horizontal pumping as well as vertical pumping. And obviously, as you go ahead and dewater, you need to move infrastructure down. There's temporary installations and permanent installations. So it's not -- you don't sort of measure it per meter day by day. But we haven't seen increased inflow rates. I think that's safe to say. But Mark maybe just explain to you how the meters that we dewater differentiate from day-to-day as a result of sort of these different pumping installations that we are busy with.
Mark Farren: Thanks, Marna. No, that's right. You're actually not wrong, you're pretty good. So we pump around about 4,000 liters a second. It hasn't changed yet. And then we're trying to lower the whole system, let's call it the system, which relies on the vertical pumping system, but also the horizontal -- let's call it the horizontal or the [indiscernible]. So your rehabilitation and your [indiscernible] system also needs to go down at the same rate. So vertically, it's about a meter per day that we lower. We have not really significantly increased anything. So we're running at about 4,000 liters a second for now. We have updated our hydrological model, which tells us over in the future. So in the future, when you carry on mining, particularly towards the West, we will increase our pumping rates. So in other words, we will encounter more water. We know about it as we move further West when we're mining. But that's going to be all in hand. If you add the pumping capacity that we have currently, we're sitting with about north of 10,000, about 11,000 liters -- let's say, 10,000 liters a second of pumping capacity with an inflow of 4,000. As we increase hydrologically, as the water increases as we move West, we increase that vertical and horizontal pumping capacity where it's needed. So it's nothing out of the ordinary and nothing that we don't expect. Thank you.
Ralph Profiti: Understood. I appreciate that. If I can sort of switch gears, a completely different topic and encouraging to see the progress on Platreef. Can you help me bring you up to date on the offtake agreements negotiations with multi-parties and counterparties. I'd just like to know what the milestones we should be looking for as those are secured in the future.
Martie Cloete: I'm happy to take that. But Alex, maybe you can also just augment. So the Phase 1 concentrate we've placed with Northam, and that's pretty much finalized and in place. And then a portion of our second phase concentrate we've placed with Sibanye. We actually had a meeting this morning with SFA, and they're currently doing a tour of South Africa and capacity. And we understand that there's likely to be capacity for the remainder of our concentrate, but those portions we still need to tie in as we bring Phase 2 online. But we are quite confident that we will find a home for the remainder. There's also expansion capacities at some of the existing fully integrated producers where one can join forces to do capital expansions if need to be, but we don't even think that would necessarily be needed.
Operator: [Operator Instructions] Next, we will hear from Andrew Mikitchook at BMO Capital Markets.
Andrew Mikitchook: Yes. So some great questions already been asked and answered. But maybe if I could just get a few more comments from Mark on -- maybe on the basis of Slides 20 and 21, where you showed the before and after of the rehabilitation in Kakula. Is that representative of what you're seeing? Or what's the range of impact you're seeing as you're dewatering and your crews are going in there to rehabilitate. And generally, I don't personally consider myself an expert in rehabilitation. Is what we're seeing in those pictures extensive or expensive or time-consuming to rehabilitate?
Mark Farren: That's a good -- yes, so it's a good question. It is representative of what we're finding. There are some areas that are much better than that. And there are some -- there's 1 or 2 areas on the eastern side that are worse than that, that we're busy with. But we haven't found anything that we can't deal with. So we're finding the pillars falling as we lower the pumps, we rehabilitate them with crews that are trying to do it. I think there's 7 different crews that are doing different areas, and they've done 10-plus kilometers of this. So they're pretty familiar with what to do. They're making the progress. They're keeping us on track. And like I said to you, we should get the West open and dewatered in this month, in the month of November, which is a major breakthrough for us. And then we can put the resources in and make sure we get the eastern side reestablished with their pumping systems, et cetera, et cetera. So I do believe they've made the progress we needed them to make. The risk to me was putting in those big pumps that we didn't know about. We didn't know or I didn’t used them before. We didn't know if it was going to work, and it worked exceptionally well. So we have made the progress that we wanted to make, and we continue to make good progress. We will talk to you if something goes wrong, we will talk to the market and say, look, we hit this problem or that problem. But so far, I think it's going very well. Thank you.
Andrew Mikitchook: And just to come back to the other project of the moment, the Platreef. We just come back to the Shaft 1 and 3 and how those are performing so far in terms of ramping up the Phase 1 because they're the key that are holding together both the ramp-up and the expansion to Phase 2. Just how has the performance been so far?
Mark Farren: I'll do that one as well, if you don't mind. So Phase 1, we sort of pushed out the commissioning of that plant to focus in on the critical infrastructure to get Phase 2 running. So Phase 2 really had to be done through shaft #3. Shaft #3, as Steve pointed out, it is a 4 million tonne hoisting shaft. That shaft will be commissioned and running in quarter 1, basically by March next year. Remember, Phase 1 is something like 700,000 or 800,000 tonnes a year. It's a tiny little mine. It's a small little mine. But we have gone very quickly. We were executing Phase 2 in parallel. That shaft, that shaft #3 is what we needed. And that I'm telling you now will be running at the end of quarter 1 next year, which completely derisks Phase 1 hoisting. So in other words, the longer open stoping that you need to do in Phase 1 is completely derisked. You can put mining material down, you can blast, you can hoist, you can do everything else you need. and it accelerates the development towards the footprint of Phase 2. So we can increase the development as much as we need to. We can open up the long-haul stoping phases for ourselves while Steve Amos is busy building the concentrator. So I think the decision to do that shaft #3 was a good decision. And he also spoke about shaft #2, which we also do Phase 2, although it's for Phase 3. So it's sort of derisking Phase 1 by doing shaft #3, getting Phase 2 ready early and then longer term, setting up Phase 3 by doing shaft #2. So the sequencing is working, in my opinion. The risk is much lower than it would have been. And I think we've done a good job there. It's going to work. Thank you.
Operator: [Operator Instructions] And next question will be from [indiscernible] at Bloomberg Intelligence.
Unknown Analyst: I just had 3, if you don't mind. Firstly, on recoveries, you've mentioned that you're aiming to target recoveries of 90%. Obviously, recoveries have been lower than that given the grades you've been processing. And of course, then you'll move up to that 95% later on when things are fully recovered. But just on that 90%, we're roughly at, I think, around 82% in the quarter. When should we apply that 90%? Is that potentially going to come in as early as kind of Q1 next year? Or is that a little bit later?
Alex Pickard: Maybe I can answer that one. So the reason for the lower recovery, the 82-odd percent is twofold. Low grade, which means a couple of percent -- low feed grade, which means a couple of percent reduction in recovery. And there's also some oxidized copper that had been sitting on the stockpiles. The stockpiles have been there for a number of years, which is not recoverable. The sulfide is oxidized, it's not recoverable by [indiscernible]. So I think once the stockpiles will be depleted by the end of the year, and once we start mining fresh rock, we will get back to the close to 90% recovery, which we were sort of achieving before we had the issues. I'm not sure if we mentioned that we are busy with a project called Project 95 at Kamoa Phase 1 and Phase 2. It's basically installing a whole lot of regrind capacity. And the reason we call it Project 95 is we're going to take the 90-odd percent recovery up to 95% recovery, and that will be commissioned in Q2 next year. So Q2 next year, we'll be mining fresh rock, the grade will be better and the plant will be achieving 95% recovery on Phase 1 and Phase 2.
Unknown Analyst: Okay. So it's 95% from Q2 next year on Phase 1 and Phase 2 and potentially is 90% by Q1. Is that correct?
Alex Pickard: Yes, correct.
Unknown Analyst: Okay. Got it. And then just another question on the stockpiles, which you're working through, which have helped kind of feed the concentrators while you rehabilitate the mine. So the plan is those stockpiles are depleted by the end of Q1, although I think I may have misheard, but you may have just mentioned they may be depleted by the end of this year. But I just want to kind of try and understand the transition from stockpiled ore feeding the concentrators to mined ore, so kind of having run-of-mine feed come through. Is there a risk? How are you kind of managing that transition? Kind of is there a risk that you deplete some of your inventories, your stockpiles, your surface stockpiles before you've got sufficient run of mine ore to feed the concentrators?
David Van Heerden: So yes, I think there will be a reduction in throughput through the concentrators, in particular, at Kakula. The additional tonnes we mined at Kamoa will tram across to Kakula to try and assist there as well. I think there's an upside in terms of the material being fresh in terms of recovery and processing. But the production rate at Kakula Phase 1 and Phase 2 will reduce slightly just because there's not enough fresh run of mine to fill those plants to fill the 10.5 million tonnes that we've -- capacity that we've got installed there.
Unknown Analyst: Okay. Understood. And then final question, just on the stockpiles, the copper and concentrate stockpiles at 59,000 tonnes. How should we think about how that gets drawn down over the course of 2026? Kind of what's the optimal level that, that hits and by when?
Unknown Executive: I think the optimal level from what I can remember is about 19,000 tonnes. That's the inventory and the stocks ahead of the smelter. They've got a ramp-up plan, which completes in about Q3 2026. So certainly by Q3 2026, that 59,000 tonnes will be down to 19,000 tonnes.
Operator: And at this time, I would like to turn the conference back over to Matthew Keevil.
Matthew Keevil: Thanks very much, operator. And we've come up on the hour here, and there are no questions sitting in our webcast queue. So with that, we'll wrap up for the day. Thanks again, everybody, very much for joining us, and we're looking very much forward to a lot of great news coming out of the recovery program and the ramp-up of Platreef over the next few months. So we look forward to talking to you again, and have a great day. With that, please wrap up, operator.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.